Operator: Good morning, ladies and gentlemen, and welcome to International Airlines Group First Quarter Year 2025 results. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session through the phone lines and instructions will follow at that time. I would like to remind all participants that this call is being recorded. I will now hand over to Luis Gallego, Chief Executive Officer, to open the presentation. Please go ahead.
Luis Gallego: Thank you very much. Good morning, everyone. Welcome to our update for the first quarter of 2025. As usual, I am joined by Nicholas Cadbury, our CFO as well as well as the rest of the IAG Management Committee. I would like to begin today by highlighting the key attributes of IAG that helped to deliver the strong results in the first quarter and underpin our long-term world-class targets. Our fundamentals are strong. We have unique strengths in our network, apps and brands. Our customer base is high quality across all of our airlines. And we have additional businesses that drive capitalized high margin earnings growth. Our execution based on our well established transformation program and delivered by our talented people is delivering world class margins. And we are focused on creating value for our shareholders through sustainable dividend and returning excess cash to shareholders through our share buyback program. So, IAG has delivered another strong quarter in Q1 2025. We grew revenue by 9.6%. All of our core markets performed well, particularly the North and South Atlantic. Our operating profit grew by €130 million to €198 million. And our margin increased by 1.7 percentage points to 2.8% in our latest quarter. Operational performance has been good, particularly at British Airways, despite the impact of the Heathrow one-day closure. I'm pleased to announce our order today for 53 widebody aircraft as well as 18 orders in the first quarter. That will support the delivery of our strategy and strengthen our confidence in the long-term future of this business. And our balance sheet is getting stronger, which as I have just mentioned is underpinning a sustainable dividend and additional cash returns for our shareholders. I will now hand over to Nicholas to take you through the financial details.
Nicholas Cadbury: Thank you, Luis. Good morning, everyone. I'm pleased to announce our excellent financial results for the first quarter of the year. This slide highlights the key drivers of profit and showcases our strong performance. The total revenue increased to €7 billion driven by our leading networks and brands, as well as our growth in attractive markets. We also delivered good growth in our Cargo and MRO business, as well as BA Holidays. The strong revenue performance offset the increase in non-fuel costs, which were broadly as expected. The increase this year related to the first half, as we discussed at the results in February. I will come on to the split of costs in more detail later, but underlying airline non-fuel costs increased by around about 3%. Thanks to the strong revenue growth and the lower fuel price, we increased operating profit by €130 million to €198 million, so good performance across all the operating companies. This was despite the late timing of Easter, had an adverse impact this year and the closure of Heathrow Airport on the 21st of March, which cost British Airways around about €50 million. Despite these headwinds, our transformation programs continue to deliver and benefits our businesses, helping us increase our operating margin by 1.7%. Now let's look at our operating company's performance in detail. I'm very pleased that almost all our businesses have delivered an improvement in operating results this year. Aer Lingus achieved an improvement of approximately €27 million in its operating results and increased its operating margin by nearly nine percentage points. This is primarily due to a strong unit revenue performance benefiting the airline's network growth together with stable market capacity during the quarter. British Airways had a very good performance in the first quarter with operating profits increasing from nearly £90 million to £96 million. And as just mentioned, this included the impact of the one day closure of Heathrow Airport in March. This improvement was driven by the very strong demand in North Atlantic markets along with the benefits of its ongoing transformation program. Iberia achieved a strong revenue performance mainly driven by the demand across the North Atlantic and Latin America. This resulted in an increase in profits of €100 million to €137 million, and operating margin growing approximately three points to 7.5% operating margin. Vueling had a really positive start to the year, although it was the airline most impacted by the shift in Easter holiday timings. This combined with the changes in calendar dates of some other celebrations in Spain was the main driver of the year-on-year performance. IAG Loyalty reported operating profits that’s broadly flat compared to 2024 at £88 million. This now reflects the required adoption of HMRC's view of accounting for VAT on the issuance of Avios, which the group strongly disputes. Excluding this change, Loyalty would have reported a 5% increase in operating profit, £97 million. IAG Loyalty continues to drive stronger underlying performance, great engagement with airlines, loyalty programs and third-party partners. BA Holidays performance contributed positively to the group's results. Moving to our regional performance in more detail, overall, we continue seeing a strong demand and unit revenue in our core markets during the first quarter of the year. We grew capacity by 3.2% and delivered a unit revenue increase of also 3.2%. This performance was driven by high yields, and helps by a positive currency impact of around about two percentage points. If we look at the performance by region, the North Atlantic saw the strongest increase in unit revenue of any region year-on-year. Robust performance was evidence across each of the transatlantic airlines, all of them experiencing high single digit or double digit percentage increases in revenue. In particular, premium cabins performed well. And the deployment of the Airbus 321XLR aircraft by Iberia and Aer Lingus is also proving to be very successful. Latin America and the Caribbean carried on being one of the stars of the network. Net revenue increased by 1% after an increase in capacity of over 7% by the grace of the performance in the southern hemisphere. Europe continues to be another one of the best performing markets, despite being the one most negatively impacted by the Easter shift. Africa, Middle East and South Asia saw a strong performance with all our airlines with presence in the region having unit revenue and capacity increase. Asia Pacific remains our smallest market and is still only 50% of 2019 levels. Increased capacity by 70% in the quarter reflecting the resumption of routes from Madrid to Tokyo with Iberia and London to Bangkok with British Airways and unit revenue performed well given the high growth. If we look at the performance by segment, the premium segment has sustained strong performance in both long-haul premium and short-haul premium. We saw a good start to the year on the non-premium segment. As you would expect, the month of March was affected again by the Easter movement. So overall, we saw a strong start to 2025. We still plan to grow capacity around 3% this year, focused on our core markets. As noted last quarter, we anticipated that the increase in our non-fuel unit costs for this year would be weighted to the first half of the year. Therefore, the 8.8% increase in non-fuel unit costs for this quarter was broadly in line with our expectations. Three factors contributed to the increase. Firstly, 2.2 percentage points was attributed to the negative impact of foreign exchange. Secondly, approximately two percentage points was driven by the non-airline business of the group, MRO, Loyalty and Holidays. And in particular, you see the related revenue benefit of MRO in the increase in Other revenue this year. And thirdly, one percentage point was due to the negative impact of the one-day closure of Heathrow, which was clearly not expected. So this leaves the underlying airline non-fuel costs increase of around about three percentage points. Benefit of this cost investment is also particularly being seen in British Airways best On-Time Performance achievement formation of IAG. Fuel unit costs reduced by about 7% mainly driven by lower commodity price and we also benefit the group's new generation aircraft for better fuel consumption. 2025 as a whole, we expect the non-fuel unit cost trend to be in line with our previous guidance, an increase of 4% approximately including FX headwinds. And fuel costs, we are currently 65% hedged for the year, to be around about €7.5 billion this year. This slide shows our financial results at a net profit level. Profit after tax and exceptional items with [€176 million] profit in the first quarter, this is an increase of €180 million on last year. As well as the high operating profits we have seen continuing improvement in our net financial costs primary due to the reduction in gross debt. Going the other way, the tax charge was broadly normalized this year against the credit last year that came from the Spanish Constitutional Court decision. Turning our attention to our balance sheet, I am pleased to report continued strengthening. Net debt has decreased by over €1.4 billion compared to the end of last year to €6.2 billion and gross debt has reduced by €1.9 billion over the same period. As a result, net and gross leverage has reduced to 0.9 times and 2.2 times respectively. This is significantly below our net leverage ceiling of 1.8 times and within our desired range 1.2 times to 1.5 times. This positions us to return excess cash to shareholders. We remain committed to reducing our gross debt, a process that began in January with a repurchase of €577 million of our 2027 and 2029 senior unsecured bonds. We continued in March with the redemption of our €500 million 2025 bonds using cash. Additionally we still plan to keep approximately two-thirds, 26 expected aircraft deliveries this year, being unencumbered. This slide illustrates the schedule of our financial non-aircraft debt maturity and as I just described you can see that after the partial early payments of the bonds and the redemption of the 2025 bond there's really minimal major debt repayments due in the coming years. It's also worth noting at this point that during the quarter we received upgrades from our rating agencies. S&P upgraded IAG and British Airways to a strong BBB investment grade and Fitch also upgraded British Airways to BBB as well, which we're very pleased about. And to conclude for me, I'd like to remind everyone of our disciplined approach to capital allocation which is fundamental to generating long-term value for our shareholders. Our first priority is to maintain the strength of our balance sheet by targeting net leverage below 1.8 times throughout the cycle. Currently we have a significant lead below that point at 0.9 times. Our secondary priority is to invest in the business to support sustainable profit growth. This quarter we've increased our capacity by just over 3% receiving a delivery of five new aircraft while expanding our margins. We exercised options for 18 aircraft in the first quarter and today we've announced an order of 53 aircraft for the group, medium-term long-haul requirements. These aircraft offer a combination of replacement and growth supporting our strategy to strengthen core network and airline brands and will be delivered between 2027 and 2033. And of course we're committed to a sustainable shareholder return as we announced in March through an ordinary dividend which is set at a level which is sustainable throughout the cycle. The proposed final dividend of €0.06 per share as we announced at the year end and additionally we plan to return excess cash to shareholders when net leverage is below 1.2 times to 1.5 times depending on the commitments and the outlook. So far we've purchased €530 million of shares so far this year completing the €350 million buyback announced in November and starting the program of up to €1 billion buyback announced this February. On that note I'll now hand back to Luis.
Luis Gallego: Thank you, Nicholas. As usual I will spend a couple of minutes highlighting the ongoing transformation across our businesses. Aer Lingus continues to focus on its leading customer offering. This includes our focus on its long-haul services, improving on best performance and investing in digital and technology. British Airways is continuing its transformation towards delivering its 15% operating margin target. It is still rebuilding its network after COVID, adding resilience to address operational challenges and investing in its lounges, Club Suites and onboard service. Iberia is building an ever stronger presence in the Latin American market as well as seeing a strong performance from the new 321 extra long-range routes to Boston. On-time performance remains very strong and improvements are being developed for digital customer service. Vueling also continues to be very focused on its customer proposition. It remains one of the world's leading airlines for punctuality and is constantly evolving its digital customer support throughout the travel journey. Finally IAG Loyalty is issuing and redeeming more Avios than ever before. Issuance increased by 16% in the quarter and redemption by 10%. During the quarter, Loganair joined the Airline Partner group and both Iberia and British Airways have now launched their new Club loyalty programs which offer new ways to earn tier points and new benefits. Moving on to our outlook. While we are mindful about macroeconomic uncertainty, our outlook for the full year is unchanged. We continue to see good demand for our services and the diversity of our portfolio of businesses is capitalizing on that. We are seeing a strong demand in Latin America and Europe whilst demand across the North Atlantic is robust. Strength in the premium cabin is mitigating some recently seen softness in the US point-of-sale for economy leisure travel. We are encouraged by our book position for the second quarter and although our visibility for the second half is limited at this point with around 29% book, this is broadly in line with the last year. And the attractive structural drivers for both demand and supply remain. In summary, we continue to execute our strategy to deliver world-class margins and returns. We are focused on making our portfolio of market leading businesses even stronger. We started our transformation program several years ago precisely so that they would be well positioned for any economic scenario and we have a strong financial foundation which is getting stronger and will continue to differentiate highly. So we are confident in the future of the business and our outlook for the remainder of the year. And with that now we open the call to Q&A.
Operator: Thank you, Luis. Ladies and gentlemen we will now begin the question-and-answer session. [Operator Instructions] And your first question comes from the line of Andrew Loppenberg from Barclays. Please go ahead.
Andrew Lobbenberg: Hi there. Congratulations on the good performance. Can you perhaps speak about the trends on the North Atlantic and how recently did the weakness appear in terms of US sold and how is it responding to the rapid macro developments? Is it a clear degradation or is it a volatile one? And then obviously your European counterparts spoke of weakness in European sold. Are you seeing no weakness at all out of Europe? Are you seeing no weakness out of UK but some out of Spain or the other way around or indeed Ireland? How does it look from a European sold perspective too? Thanks.
Luis Gallego : Thank you, Andrew. So to be honest it's difficult to compare because we have the change in the period of Easter this year. We have also sales different periods of time, the blackouts in Madrid, so it's quite hard to read. But as we said before, for the second quarter, the booking levels are close to 80%. So and they are above what we had last year. But for the H2 the visibility that we have is still very limited. It's only 29%. So what we see by region is a very balanced group. South America is very strong. Europe, Africa, Middle East they are also very good. North America, point-of-sale UK is holding up. Point-of-sale US, as we said, is softer in economy. But all premium cabins are strong. So the point-of-sale US for us is -- for the group is 17% of our revenue. And we can say that it's 50/50 between premium and economy. And the premium traffic is offsetting this weakness that we have seen recently. But we don't know if it's because of the comparison with the base.
Operator: Your next question comes from the line of Stephen Furlong of Davy. Please go ahead.
Stephen Furlong : Well, good morning, gentlemen. And congrats on the results and the aircraft order. Maybe I'll just ask about the aircraft order. You're obviously very happy to take Boeing aircrafts. Could you just make a comment, Luis, on the use potential stance on tariffs? Or you obviously feel that that is not going to ultimately materialize in terms of import duties, etc., particularly for the Boeing 787? Thank you.
Luis Gallego : I think it's important to say that we started the tender for the widebody aircraft last year. So and as you can imagine, the decision to allocate capital to our fleet is a long-term strategic investment. So we welcome the framework of the deal that was announced yesterday. Still, we don't know what's going to be the total agreement for aviation. We don't like tariffs. And we consider that tariff-free aviation supply chain [helps] to develop aviation and to create jobs in the situation that we have right now. But it's good news that we are not going to have tariffs in Boeing products. And we will continue working with the government to see if we can expand this to all the supply chain.
Nicholas Cadbury: Okay. Thank you.
Stephen Furlong : But aircrafts will see UK delivery.
Luis Gallego : Yes.
Operator: Your next question comes from the line of Savi Syth of Raymond James. Your line is open.
Savi Syth: Hey, good morning. If I might, to follow up on Andrew's question a little bit, on the corporate side, I wonder if you could provide a little bit more color on what you're seeing there across the various regions and just kind of long-haul versus short-haul as well? Thank you.
Nicholas Cadbury: Yeah. Corporate travel has really been in line with the rest of the business, actually. It's been holding up quite well. Not really too much to say about it overall. We've seen a little bit of mix difference in British Airways. We've pulled a bit back from kind of Hong Kong and China, which used to be strong corporate. And we're kind of putting on more Middle East, which is slightly less corporate. So there's a bit of a mix difference there. But actually, overall, it's pretty much in line with where we thought it would be.
Savi Syth: And no kind of incremental change since all this kind of global noise?
Nicholas Cadbury: No.
Savi Syth: Thanks, I appreciate it.
Operator: Your next question comes from the line of Jamie Rowbotham of Deutsche Bank. Please go ahead.
Jaime Rowbotham: Morning, gentlemen. I'll use my one question to ask about Spain. So Iberia seems to have had another great quarter. I think LatAm has a lot to do with it. But if we just focus on the Spanish end of the equation, economically, the country appears to stand out in a very good way. But recently, i.e., now we're talking about domestic traffic growth having slowed a bit to just 1%. And there also seem to be increasing headlines about anti-tourism protests in Spain, so just any concerns at all about the outlook for the core Spanish business? Thanks.
Marco Sansavini: Well, this is Marco from Iberia. In fact, not, we have reported a very, very solid Q1 results in that respect. You can see that there is some element that has to do with the Easter shift that, of course, it has a relevance for the quarter result, but it's purely an Easter shift. In fact, if you look at the perspective for Q2, we don't see weaknesses in this respect. So we can see this market is still developing in a solid manner.
Carolina Martinoli : I can echo, Carolina from Vueling. I think the Easter shift for Vueling has an impact, but what we are seeing is quite healthy earning environment is expected. We are not seeing weakness.
Jaime Rowbotham: Thanks, guys.
Operator: Yeah, next question comes from the line of James Hollins at BNP. Your line is open.
James Hollins : Thanks very much. If I could ask on unit cost ex-fuel, please. Clearly, you retained guidance of full year up 4%. I was wondering if you could give us the new split of underlying versus FX. I think it was 2% plus 2%. And if it has changed, maybe just run us through what it was in particular. And staying on cost, there's one question. Maybe run us through this a lit bit, the quarter movement. And you obviously said its H1 weighted. Should we expect H2 flat to down? Or maybe just run me through how you're thinking about? Thanks.
Luis Gallego: Yeah, we're just going to stick to full year guidance, James, at the moment. So yeah, we said at the end of the year, it was 2% underlying and 2% FX overall. It's kind of a little bit higher on the underlying, a little bit lower on FX. And the underlying bit has gone up mainly because of the cost that has come through on Heathrow and a very small amount from Madrid as well. But that's the difference on it. So it's not too dissimilar from where it was.
James Hollins : Okay, thanks.
Operator: Your next question is from the line of Ruairi Cullinane from RBC Capital Markets. Please go ahead.
Ruairi Cullinane: Yes, good morning. And strangely, I've got a question about your pension, which is the UK or pension assets that the UK government has announced reforms to facilitate the release of some pension services. Do you think this --
Nicholas Cadbury: Sorry, we're struggling to hear you, I'm afraid. Could you repeat the question? We can hear about pensions, but that's all we can hear.
Ruairi Cullinane: Yeah, okay. Hopefully, you can hear me better now. So the UK government has announced reforms to facilitate the release of some pension services. Do you think this could potentially apply to any of the net pension assets on your balance sheet? Thank you.
Nicholas Cadbury: I think it's still under consultation, actually. So I don't think it's actually gone through finalized at the moment. So we'll review that as it comes through. But we're, yeah, not something we're considering at the moment.
Ruairi Cullinane: Thank you.
Operator: You have a question from Harry Gowers at JP Morgan. Please go ahead.
Harry Gowers : Yeah, good morning, everyone. Just one question on the Other revenue line. I know this line, it can be lumpy and maybe hard to forecast, but obviously the Q1 Other revenue is up 40% year-over-year. So is that going to continue over the coming quarters? Like how much of that can we extrapolate out to the full year? Thanks a lot.
Nicholas Cadbury: We had a very strong quarter one. I think we'll probably have a good quarter two as well off the back of that, and it's particularly around MRO, which is very strong at the moment. That's kind of third party kind of maintenance and that kind of fleet of engines at the moment. I wouldn't extrapolate it at kind of 40% going forward overall. Clearly, we had slightly weaker comparative this time last year as well. So it's probably roughly around about probably half that across the year.
Harry Gowers : Great. Thanks, Nicholas.
Operator: Your next question is from the line of Conor Dwyer of Morgan Stanley. Your line is open.
Conor Dwyer: Thanks very much. The question I have is just really around actually the plane order and how that kind of feeds into if any changes in capacity growth expectations in the kind of more medium-to-long term. Is this kind of very consistent with what you've been saying before in terms of capacity growth, or does it potentially lead to perhaps a little bit of acceleration to how you've been thinking about things beforehand?
Luis Gallego: I think the fleet order, first of all, we need to replace the aircraft that we have. We have the 777, for example, in BA that they are reaching the end of their life. But part of the fleet order is to replace those aircraft parties for growth in line with what we said in the Capital Market Day in 2023, that we are going to be around 4% to 5% of growth per year.
Conor Dwyer: Perfect. Thank you very much.
Operator: Your next question is from the line of Baptiste Bourdeau de Fontenay of Bank of America. Please go ahead.
Baptiste Bourdeau de Fontenay : Hello. I just want one question, please. So one of your competitors said that for some of the transatlantic volume gaps, it could also be caused by shorter booking windows, given the uncertainty. Is that something you think is also a possible explanation? Thank you.
Nicholas Cadbury: It might be. I mean, that would be speculative if it was. We've seen some strong short bookings, actually, particularly in Ireland and in Europe at the moment. But I think it would be kind of speculating in which piece would be sold.
Operator: And your next question comes from the line of Guilherme A. Sampaio from CaixaBank. Please go ahead.
Guilherme Sampaio : Hello. Thank you for taking my question. So how do you see the industry transatlantic capacity reacting to this demand softening? And how do you expect to deal with this softening in the future in terms of cost or in terms of capacity? What kind of flexibility do you have?
Luis Gallego : So I think what we see in our main market, the capacity of the second quarter and fourth quarter, we see, for example, that in North Atlantic, the traffic between Europe and North Atlantic is going to fall in the second quarter around 0.8%. We are going to have a fall in all of our hubs except Dublin. They are going to have an increase. In the third quarter, the traffic between Europe and North Atlantic -- or the capacity between Europe and North Atlantic is going to increase 2%. London, we see is going to be flat and we see a strong growth in Madrid and also in Dublin. We look at the South Atlantic, in the second quarter, the traffic between Europe and LatAm is going to be almost flat. I think London is going to decrease and Madrid is going to increase around 1.5%. And if we look at the third quarter, traffic between Europe and LatAm is going to -- capacity between Europe and LatAm is going to decrease around 2% with an increase in London and Madrid. So I think in general, the environment is a good environment. And if we look at European traffic, the second quarter, we are going to have an increase of capacity of around 3% and the same for the third quarter. And the capacity that we have, the plan we have for this year is going to be around 3.4%.
Nicholas Cadbury : I think although we've got some uncertainty short term on this, I think if one thing we are certain about is across the North Atlantic over the medium to long term, keeping a very strong market.
Guilherme Sampaio : Thanks.
Operator: And our final question today comes from the line of Jarrod Castle at UBS Limited. Please go ahead.
Jarrod Castle : Great. Last but not forgotten, you changed the Tierpoint program. We've had a good few weeks now of the new loyalty program. I wanted to ask about how's the customer response been towards that. You're seeing any change in behavior? Also, how competitors are responding? So anything on the Loyalty program changes and how that's impacting the business positively or negatively?
Unidentified Company Representative: Maybe if I go from British Airways, I think we're seeing the behavior that we expected. So one, I think executive bookings are tracking in line with the rest of our wider bookings. Number two, I think we're seeing people get rewarded more fairly and we're seeing people get rewarded for an increased share of wallets. I think it's also important to note that over the last two years, we've made a number of changes to the proposition. We've more commitments made for redemption, which customers receive positively. We've reduced things like our carry-on board charges. We've also implemented spend-based earns, which means we issue more miles to customers. And now I think revenue-based tier is something which is much fairer. And so I think the behavior and the trend that we expected are certainly the ones that we're seeing, which is very encouraging.
Unidentified Company Representative: And I'd add from a Loyalty perspective, we're seeing similar on the Iberia side as well. And we are seeing some evidence that more Club members are booking on BA Holidays too. So we expected that to be part of the [joint] and I think we're seeing early signs of that.
Jarrod Castle : Thanks.
Operator: And this does conclude our Q&A session. I will now hand back to Luis Gallego for closing remarks.
Luis Gallego: Okay. So thank you very much, everybody, for being here today. As we’ve said, a strong Q1. We have limited visibility for the second half of the year, but we are sure that the strategy that we are following and the trend of [indiscernible] Airlines businesses in the group is going to continue as regarding group results. Thank you very much.